Operator: Good afternoon, ladies and gentlemen, and welcome to today's Rekor Systems, Inc. Conference Call. My name is Kevin, and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. Before we start, I want to read you the company's abbreviated safe harbor statement. I want to remind you that statements made in this conference call concerning future revenues, results of operations, financial position, markets, economic conditions, products and product releases, partnerships and any other statements that may be construed as a prediction of future performance or events are forward-looking statements. Such statements can involve known and unknown risks and uncertainties and other factors, which may cause actual results to differ materially from those expressed or implied by such statements. We ask you that you refer to the full disclaimers in our earnings release. You should also review a description of the risk factors contained in our annual and quarterly filings with the SEC. Non-GAAP results will also be discussed on the call. The company believes the presentation of non-GAAP information provides useful supplementary data concerning the company's ongoing operations, and is provided for informational purposes. I’d now like to turn the conference over to Mr. David Desharnais, President and CEO of Rekor Systems.
David Desharnais: Thank you operator and thanks to everyone for joining us today. I'll start with a brief update on customer activity, followed by an overview of the current market and our strategic priorities. Eyal will walk through our Q3, 2024 financial results and I'll conclude with an update on our market position goals for 2025 and the path forward. I'm pleased to report that the pipeline we've been nurturing for months is now entering the deployment phase, validating our growth strategy across all three core product areas; Urban Mobility with Discover, Transportation Management with Command and Public Safety with Scout. In each area, we're seeing steady platform expansion, increasing customer engagement and expanding strategic partnerships. Starting with Discover, we recently achieved the much anticipated inclusion of our systems on Florida's approved product list or APL, and have now begun the first wave of statewide deployments spearheaded by the Central Office of Florida DOT. These deployments are part of a statewide effort to provide comprehensive coverage across every district, ensuring precise roadway data and advanced analytics for emergency operations and beyond. I'm especially proud to report that our first installations have already been battle tested and proved their value. During one of the most challenging hurricane seasons in Florida's history, Rekor was a reliable and accurate source of traffic data for the state and its emergency operations, facilitating the safe evacuation of millions. While these back to back hurricanes required Florida DOT to prioritize emergency operations and evacuations for citizen safety during this time, we are now excited to be making renewed forward progress in Q4. With our inclusion on the APL and strong endorsement from Florida DOT's Central office, we are collaborating with multiple districts to expand the reach of Discover, leveraging existing and discretionary budgets for wider implementation across the region. With our existing involvement in servicing Florida's legacy data collection network, we believe we are well positioned to modernize thousands of outdated sites across the state, many of which are currently underperforming or in disrepair. With APL approval of our advanced technology now behind us, our established relationships and operational momentum make Florida a cornerstone for our growth this year and beyond. Although the approval took longer than expected, it marks a pivotal step allowing us to expand the delivery of reliable and mission critical insights that validate our strategic direction. As we prepare to deploy hundreds and eventually thousands of units in Florida, this continued rollout not only positions us for sustained growth in one of the nation's largest and most influential states, but also sets the stage for expansion beyond. Florida has built a strong reputation with the Federal Highways Administration as a leading state for advanced data collection approaches, serving as a model for other states. Florida's exceptional results through the recent hurricanes has been particularly instructive for other coastal regions and states that face similar and severe weather challenges. We are confident that our ongoing work in the region sets a powerful example and will help to facilitate accelerated adoption nationwide. Securing an initial order in a new state requires winning the confidence of key decision makers as well as successfully navigating a challenging procurement process. Complex state procurement policies can present unexpected challenges that lead to frustrating delays. To address this, we've streamlined our approach by codifying essential elements such as documenting our steps to eliminate AI risks, implementing robust cybersecurity and data protection measures, and establishing predefined contract vehicles, all into a structured framework. This framework is designed to simplify our collaboration with procurement departments, reduce friction and accelerate timelines in future engagements. Building on our growing momentum with Discover, I'm pleased to also announce that New York, our latest customer and another one of the largest and most influential states in the country, has officially advanced Rekor Discover from proof-of-concept through procurement. This achievement grants us access to approximately 115,000 miles of public roadways and serves as a critical entry point for a potential broader rollout statewide. With this milestone, Rekor can now engage with various local union engineering and construction firms to install our Edge AI devices for use at numerous data collection sites across the state. Based on their experience with our currently installed systems, New Mexico has also made the recent decision to move away from outdated 1990s side firing radar technology, opting instead to leapfrog directly to our AI based solutions for a major interstate highway upgrade project. The state is investing over $200 million in a multi-year roadway infrastructure project and we are well positioned to capture a portion of that spend. They have designated Rekor as the official system of record for advanced data collection and we are collaborating closely with state leadership to plan further expansion. Now onto our transportation management area, in Q3 we were pleased to see our Command solution for traffic management continue to gain additional ground in Texas, where Texas DOT, Austin, and the Central Texas Regional Mobility Authority, or CTRMA, have implemented Command as its AI based incident detection and response platform, as well as for work zone management and real time public notifications. To date, the performance has been impressive, with TxDOT reporting a 29% reduction in secondary crashes and the ability to restore normal traffic flows on average 44 minutes faster using command. TxDOT has also presented our solution to the Texas House Legislator as a model for future roadway management. Our deployment and its outcomes were highlighted in a recent video featuring testimonials from senior leaders at TxDOT, including the state CIO and Head of Traffic Management. This video underscores Command's value as a transformative tool for helping to create safer, smarter, and more efficient roadways and communities, and highlights their plans for statewide enterprise level deployment of Rekor. If you haven't seen the video, it's available on our website and various social media channels. We are excited about our ongoing progress here and believe that both Texas and Florida have the potential to become some of our top revenue generating states in the coming years. In addition to these specific projects, we are currently engaged with over a dozen states that manage 1.2 million miles of roadway data collection in aggregate. Our expanding footprint now includes Hawaii through our new partnership with a large and trusted local infrastructure service provider for the state. This collaboration will bring our advanced solutions closer to many communities in Hawaii providing the most advanced digital infrastructure for their Departments of Transportation and Public Safety. Speaking of public safety, we are pleased to see the continued momentum building for our Scout platform with increasing concerns about crime across communities in the United States. This is a market segment that is expected to see significant growth in the coming years. Notably, more than 70% of all crime involves a vehicle, underscoring the need for high performance and accurate vehicle recognition technology and roadway intelligence. We recently announced our partnership with SoundThinking, a leading public safety company trusted by thousands of public safety agencies nationwide. Our collaboration and joint offering is already seeing positive initial results in the market with SoundThinking reporting multiple millions of dollars of new pipeline already established and with more to come. In addition, our participation at the recent International Association of Chiefs of Police, otherwise known as IACP, was well received with other companies in the public safety domain approaching us for potential partnerships as well. This reinforces our confidence in the growth outlook for Scout and our public safety segment over the coming months and years ahead. Also, we're pleased to announce that Scout has recently passed an initial technology approval for New Jersey's statewide Networked ALPR Program or NJ Snap, marking an important milestone on our journey to establish Scout as the trusted vehicle recognition solution for New Jersey law enforcement agencies and public safety initiatives. As part of our growth strategy, we are continuing to forge industry leading partnerships that enhance our capabilities and strengthen our market position. Notably as industry leaders, Amazon Web Services and NVIDIA are intensifying their focus on public safety and transportation infrastructure and they are aligning with strategic partners they believe will be the leaders in this space. They have chosen Rekor and are putting weight behind our solutions. We previously highlighted our deep collaboration with AWS across each of our business segments. Now NVIDIA has published a case study on our integration with their full stack and accelerated computing platform by leveraging NVIDIA's AI and Neuro-Inference microservices or NIM, we harness generative AI to accelerate deployments and strengthen data security. We are also running multiple large language and computer vision models on NVIDIA's Triton AI inference server. This provides critical capabilities for data annotation, workflow, automation and camera calibration and advances the state of the art for our AI driven roadway intelligence. Maintaining visibility and influence is critical for Rekor as it fuels innovation and keeps us at the forefront of a rapidly evolving industry. In Q3, Rekor had a strong presence at over 30 industry events, reinforcing our role as a thought leader and strengthening ties with current and future clients. Our national profile is also on the rise. We were recently featured on Motor Week, the nation's longest running automotive television series where our brand and technology reached a broad audience, reinforcing Rekor as a leader in enabling the future of safer, smarter transportation. I'm also honored to share a significant milestone for my personal commitment to advancing transportation and infrastructure. In addition to serving on the Board of Directors for the U.S. Department of Transportation center for Multimodal Mobility for the past year, I'm now pleased to share that I was recently inducted to the Board of Directors of ITS America as well, the leading authority in the intelligent transportation industry. This is a strong recognition of Rekor's vision and role in shaping the future of digital infrastructure and roadway intelligence nationwide. Together, we will set the standard for safer, smarter and more connected communities. As I've shared in previous calls and outlined in my recent shareholder letter, all indicators point to what is an inevitable decade long wave of transformation toward digital infrastructure, a seismic technology shift that will fundamentally redefine roadways and communities across the U.S. and beyond. Rekor is poised to lead this transition with our innovative AI-based technology and unparalleled expertise in roadway intelligence. However, navigating government procurement cycles requires adaptability and patience as timelines in the B2G sector can be unpredictable. Since assuming the CEO role this past summer, I have focused on creating a leaner, more efficient Rekor 2.0, a company ready to capitalize on significant breakout opportunities in 2025 and beyond. While progress toward our long-term goals may not always be linear, our growing customer momentum, expanding backlog and meaningful partnerships have strengthened our opportunities for sustainable, self-funded growth. Together with my senior management team, we are fully committed to executing our plans and creating lasting value for shareholders, customers and employees alike. To stay resilient in this environment, we've taken the necessary steps to adjust to the unpredictability government procurement timelines and trim our expenses. This expense realignment is designed to achieve up to $15 million in annualized savings and gave us the confidence to eliminate an additional $20 million in optional advances we had in place with Yorkville. These actions demonstrate our commitment to operating within our means, reducing reliance on external capital, and positioning ourselves firmly on the path to positive cash flow in 2025. With industry leading technology platforms across all business segments and strong partnerships within the ecosystem, Rekor is poised to transform 4.2 million miles of U.S. roadways, setting the standard for smart AI driven infrastructure. Our state-wide engagements are stronger than ever, steadily propelling us toward our vision of becoming the global leader in roadway intelligence. I'm immensely proud of our team's daily dedication to making that happen. Today, we're on an exciting journey to build safer, smarter communities and I am confident in the road ahead. I'll now hand the call over to Eyal Hen, Rekor's CFO to review our Q3 financial highlights Eyal?
Eyal Hen: Thank you David, and thanks for joining us today to discuss our results for the three and nine months ended September 30, 2024. I'd like to begin by highlighting recent strategic actions we've taken to optimize our cost structure which are projected to reduce 2025 expenses by up to $15 million compared to 2024. These initiatives include workforce restructure to better align our cost base with current business needs. We have placed our emphasis firmly on current operations and near term revenue producing opportunities while ensuring that we retain key talent and maintain the operational capacity required to deliver high quality service to our customers. In addition to a thorough evaluation, the timeline for our longer range development efforts and reduction of other expenses, we have implemented targeted compensation adjustments that include more equity based compensation in the total compensation packages. This demonstrates the long-term fate of our top employees in our future success. Now for the third quarter numbers. We had revenues of $10.5 million, an increase of 16% compared to Q3 2023, and for the nine months ended September 30, 2024, we achieved $32.8 million in revenue, an increase of $8.9 million or 37% over the same period last year. Our Urban Mobility segment, which consists of revenue derived from roadway data aggregation activities, was the main driver of our growth in the quarter. Recurring revenue reached $5.5 million in the third quarter of 2024, an increase of 14% over the same period last year. For the nine months ended September 30, 2024, recurring revenue totaled $16.8 million, an increase of 13% compared to the same period last year. Adjusted gross margin for the three months ended September 30, 2024 was 44%, a decrease from 52.6% for the same period last year. For the nine months ended September 30, 2024, adjusted gross margin was 48.2%, a decrease from 52.6% for the same period last year. As indicated in previous calls, we are still in an early growth phase and margins can fluctuate on a quarterly basis. The decline in Q3 2024 was largely driven by lower gross margin projects and some adverse weather conditions over the late summer months. We expect gross margins to bounce back over the coming quarters driven by new wins and delivery of our higher-margin offerings. Adjusted EBITDA loss for the third quarter of 2024 was $9.2 million, an increase from $6.6 million in the same period of last year. The higher adjustable EBITDA loss was largely due to the aforementioned lower gross margin. For the nine months period ended September 30, 2024, adjusted EBITDA loss was $24.3 million from $23.2 million for the same period last year. Our Q3 2024 financial results reflect the variability we have previously noted in serving government sector clients. To help smooth out this unpredictability, we are proactively optimizing our cost structure, focusing intently on near term revenue generation and trimming back personnel in longer range development areas as well as other non-essential expenses. Although these decisions are challenging, they are necessary to streamline our operations, accelerate our path to profitability and strengthen our balance sheet. We anticipate implementing the majority of our targeted reduction on an annual full run rate basis by year end. As part of our commitment to prudent financial management, we have made strategic adjustments to our financing arrangements In October, we amended our prepaid advance agreement with Yorkville Advisors and eliminated the option for an additional advance of $20 million. This decision reflects our confidence in our current realignment, growing operating momentum, and commitment to delivering value to our shareholders. Despite some near term challenges, our financial and operational strategies are laying a solid foundation for strong future growth and profitability. I want to reiterate that our actions position us to operate within our means and reduce our reliance on external capital. This will put us on the path to achieve positive cash flow in 2025. We are confident in our forward outlook, and grateful for the continued support of our investors. Now I will turn the call back to David to cover additional business highlights and the path forward. David?
David Desharnais: Thank you, Eyal. As you can see, we are taking deliberate actions to align our cost structure with the realities we've experienced in the government procurement cycle. Through a disciplined financial approach, we are positioning Rekor sustainable self-funded growth with a clear line of sight to positive cash flow in 2025. At the same time, we are at a defining moment in the evolution of roadway technology. Transportation departments across the U.S. are at a crossroads. They can either continue with outdated, unsafe, labor intensive methods or embrace modern AI driven solutions that provide better worker safety, deeper insights and increased efficiency and future proofing. We are well positioned to lead the way and support our forward looking customers as they continue to embrace digital infrastructure as part of this inevitable and massive wave of modernization and technology transition. Rekor has the capacity to deploy hundreds of thousands of our AI Edge units along with our software, ultimately transforming over 4.2 million miles of U.S. roadways. While exact deployment timelines are difficult to predict, once these agencies commit to this transition, we believe there is a potential for a 40% compound annual growth rate in revenue over the next five years. Achieving this level of growth would establish Rekor among a select group of industry leaders. Looking beyond technology and partnerships, we are building a company prepared to endure and thrive. As we move forward we expect to deliver consistent revenue growth, expanding gross margins and enhanced predictability. Our disciplined approach and commitment to financial independence not only supports a self-sustaining growth model, but also paves the way to unlock Rekor's multibillion dollar potential and to deliver outstanding value to our stakeholders. We're excited about the road ahead. With Rekor's dedicated global team leading AI solutions across each of our product lines and strategic partnerships, we are uniquely positioned to modernize millions of miles of U.S. Roadways and paved the way for global expansion. Rekor’s thought leadership and influential presence on the boards of leading industry bodies also places us squarely at the forefront of transforming the future of transportation. The future is bright and we look forward to continuing this journey together building safer, smarter and more efficient infrastructure for communities everywhere. Now I'd like to open the floor for any questions you may have. Operator?
Operator: [Operator Instructions] Our first question is coming from Mike Lattimore from Northland Capital Markets. Your line is now live.
Mike Latimore: Hi Dave, thank you. Congrats on the ITS appointment, David.
David Desharnais: Thank you very much, Mike.
Mike Latimore: Just a couple quick things on the results in the quarter here. So recurring was down sequentially and if I recall last year the similar dynamic occurred when a hurricane came through in the third quarter. So I guess it was there. Is recurring revenue going to sort of was it impacted by the hurricanes in the quarter, like particularly the mobile site revenue, and does that bounce back in the fourth quarter?
David Desharnais: Yes, Mike, thank you for the question. You are correct. We incurred the same kind of weather conditions, even worse in Q3. This result lower recurring revenues or lower revenues from recurring contracts. And we anticipate this to come back in Q4 and forward. Yes.
Mike Latimore: Okay, good. And then with regard to Florida, great to see you're on the APL list. You say deployments have commenced. Can you give a little more detail there? Is there a detailed plan for a number of endpoints per month or, certain districts farther ahead than other districts? Maybe just talk a little bit about kind of how visible this deployment program is.
David Desharnais: Yes. So, Mike, in regards to Florida, as you know, the hurricane season has been pretty nasty this year. Right. The intention of the central office of Florida is they want to be able to have effectively eyeballs in every district to be able to get good coverage across the state during emergency operations. Obviously, I think you're in that market. And so Hurricane Sara is brewing again, and you understand there's a timeline associated with this and they're trying to get as much done between now and May to make sure that they're prepared for the next, whatever may come in next season. And so in terms of distribution, you can imagine every district will have a certain number of units and they're planning that out right now and we're working with them daily on it. I wouldn't be prepared to give you that detail on here, just for competitive reasons and other things. Right. But yes, it's a very, very close relationship, I would say in part because of the performance that we've demonstrated there in the past year of our engagement. But it really reached a peak of undeniable, evidence during the performance during the storms themselves, where we were literally the only devices able to provide accurate, reliable, sustainable data during the storm. So that really accelerated a lot of things that I would say otherwise would have taken a slower boat through, the channels and the labyrinth [ph] of procurement and things. So in this case, never let a crisis go to waste in that, in that way. And it's really helped kind of accelerate the planning there and also the confidence in the state to move very quickly. Now beyond that, every district operates also independently. So you have central office or central Florida that overlooks across the state for their needs. And then you have every district that has day to day operational needs for things like class count and speed and other statistics. And so we're engaged in parallel with the districts as well as the central office. And the districts themselves have their own needs. And when we talk about, the potential in a state like Florida, say, 18,000 devices over time. Right. If you look at that as the potential TAM of that area, then the districts play a pretty heavy role in that. And as we look to go beyond central office, we'll get that done. And then also in parallel working with the districts, that opens up tremendous, footprint and tapping into different budgets, some of which are existing budgets, some of our discretionary budgets, and some are budgets to come based on their future planning. But I would say net, very, very tight, trusted relationship we're building with Florida and we expect again that to be one of our largest revenue producing states over time. So I hope that provides some color there, Mike.
Mike Latimore: Yes, yes, thank you. And then just maybe thinking about it more broadly here in terms of the addressable market. You're talking in Florida here about several thousand units. And then I think historically you've mentioned kind of maybe the TAM is in the millions, but you know, Florida is one of the bigger states. So can you kind of think up like that, broader TAM versus what we're seeing in Florida right now?
David Desharnais: Yes, I'll try to color that up in a way that you can extrapolate to how we think about this across different states. So if I take, if I take Florida, and for those of you that don't look at the stats here, Florida has about 122,000 miles of public roadways. Our concentration is really on the highways and interstates. And if you look at the mileage of highways and interstate miles, it's around 13,500 or so. Right. And if you look at the 18,000 sort of site potential in there, it equates to about 1.3 sites per mile. In some cases could be up to 2 per mile. Now I can tell you, living in the north or mid Atlantic, I should say, I will tell you going up and down I95 every quarter mile or so, I can tell you there's devices there. So when we start looking across the states, whether, you know, if you look at Texas and their road miles, if you look at Florida and their road miles, you look at Hawaii and New Mexico road miles, we see pretty easily 750,000 to a million, million and a half sites potential as a TAM. Now if you think about the devices, and this is how we think about it. We have an opportunity to be able to serve each of those states on their roadways with the superior data that we do produce for them for class count and speed. However, once you have that real estate, we'll just call it real estate. The ability to do upsells and cross sells there is enormous. And so when we think about the potential that 750,000 to a million and a half sites provides, it's not just one and done. It's the ability to expand upon that, add value added services on top. And frankly, we're starting to see this now pull in our additional platform. So what I'm talking about right now is Discover. But we also have our command platform and we also have our scout platform and those are tied together on the back end that allows us to do expansion. So the TAM is pretty significant. Even if you just looked at it independently as our urban mobility segment with Discover, it's a very, very good TAM overall. But then you start to look at the cross selling and upselling capability, it becomes really terrific. And that's what we see ahead for us.
Mike Latimore: Makes sense. And one last one just on G&A that was up sequentially. Was there any one time item in there?
Eyal Hen: Yes. You're right, Mike. We have a significant amount of onetime items there associated with the financing transaction we did in Q3, like the Yorkville, we did a new shelf and we did the warrant exercise that happened all in Q3 and resulted in expenses.
Mike Latimore: So, the $15 million of savings you expect is basically relative to the OpEx in the third quarter, probably excluding those onetime items, I would imagine?
Eyal Hen: Yes. Excluding the onetime items, as we said, we did the salary realignment with equity and some other measures to reduce our expense structure significantly in 2025.
Mike Latimore: Okay, thank you.
David Desharnais: Thank you, Mike.
Operator: [Operator Instructions]. Our next question is coming from Louie DiPalma from William Blair. Your line is now live.
Louie Dipalma: Good afternoon, David and Eyal.
David Desharnais: Hey Louie.
Louie Dipalma: You are making significant progress in Florida with the APL and you announced developments with Texas and New York. We were wondering how might the new presidential administration impact Rekor's business as there has been a lot of discussion of Dodge reducing red tape and bureaucracy and you have cited the inconsistent government procurement cycles, but could Dodge like expedite procurement and lead to a faster conversion of this like very large 750,000 TAM into like deployments and revenue?
David Desharnais: That's something we've given a lot of thought to, obviously, leading up into the election season and obviously, the outcomes of the election. A couple of things I would say just as sort of contextual points is that the Infrastructure and Jobs Act or the Bipartisan Infrastructure Law, thankfully, was intended to extend beyond a single administration. So, that's still in place, that's still $1.2 trillion, and it's still within a 5-year duration of time. So regardless of the outcome of the election, that still stands and the money that has been earmarked or allocated already is still earmarked and allocated. Now, as we've kind of looked at this scenario planning here for what may happen, we kind of took a look at Trump's first term and just sort of as an indicator of what we can expect. And there's been no announcement of the Secretary of Transportation yet or the Department of Energy, those are still open positions yet to be fulfilled. But they will still have the infrastructure law to depend on and deploy. And the reality is that nothing has really fundamentally changed in terms of we've got increasing demand for travel, infrastructure is aging. The fact that fuel tax revenue is going down and that the existing sort of program spend for Departments of Transportation is insufficient to do what they need to do, the need to be able to leverage and tap the infrastructure law or the bipartisan infrastructure law is still there. And Trump is known to have a heavy focus on highway expansion for sure. When we think about an emphasis on rural areas of border surveillance, domestic ICE vehicle production, so standard petroleum vehicles. I mean, all of that bodes well for what we have as an offering today and we don't see anything but positive ahead. I mean it's going to be AI focused, it's going to be about being able to have scalable, affordable solutions that enable labor reduction. So, you think of Dodge and some of the efficiencies that may come up as a result of that and the streamlining of bureaucracy and the need to reduce friction. So, procurement, we expect we'll have maybe a simpler path forward there. Again, all of this is speculation, but that's how we're looking at this. So, overall, I would say we're feeling good about the transition as it relates to our business and the path forward. And we're excited to see who the Secretary of Transportation is going to be and looking forward to aligning with that. Now, the last thing I'll say here, Louie, is that Rekor's presence and influence in the industry is growing. And our ability to have good insight into what's to come and our ability to help shape what's to come at the highest levels of the U.S. Department of Transportation, Federal Highways Administration and now with my appointment on the ITS America Board of Directors, I think that puts us in a very strong position to help shape the future here. So for us, it's green lights, full steam ahead for us.
Louie Dipalma: Thanks. And it seems the progress of the 1,000 camera deployment with State X has been impacted by the hurricane season, but what is the new time line for when that deployment should be completed? And once it's completed, should investors expect follow-on orders from State X? Like what is the market opportunity? And are you already in negotiations for follow-on tranches with State X?
David Desharnais: Yes. So yes, yes and yes, Louie. So, State X, as we've referred to before in previous calls, as I've hopefully tried to make more clear today is Florida. With our inclusion on the APL, there's an enormous opportunity there. And our position in the state is very favorable, again, based on performance and based on relationship and the momentum. Keep in mind, we've had a long, longtime relationship with the state in Florida. And Florida is influential to other states, not only around Florida and adjacent to Florida but really across the nation. They are one of the top states when it comes to Federal Highways administration, and so many times, the question becomes what is Florida doing? And maybe that's what we should do when it comes to states and how they make decisions and so we're really pleased with that. The opportunity that I've outlined there is very real, and we're extremely well positioned. So, we're working with the districts now on deployment plans. It will tie into their program spend, it will tie into discretionary funds. And, yes, I mean, again, that's yes, yes and yes for us. We still have day-to-day operational things that we'll go through with them, there's still things that we're working on and time lines, how to stage that through the districts and labor and things related to that. But, yes, the opportunity is immense there.
Louie Dipalma: And is there also the equivalent of approved product lists in some of your other large markets, such as New York and Texas and California?
David Desharnais: There are and it becomes relevant depending on -- so APL or approved product list, there's different names for it, but similar kind of thing. Not every state has them, but a lot of states do. And a lot of states have reciprocal agreements. So, what one state does, another state will follow. And if it's good enough for them, it's good enough for us without having to go through what can be an elongated process sometimes. But having gone through now in multiple states, we have a growing experience on this and a lot of this can be templatized. In my earnings remarks, I talked about dealing with procurement and how we're codifying the process and building a framework. And part of that is we know this is going to become something. And we have answers now and I think we can accelerate that process. That's our expectation. So, that's for states that are buying equipment that they need to have on an approved product list. But our business model provides alternatives, like for example, some states don't need to buy equipment they will do data services only. And if it's a data services only, there's no equipment to buy per se so there's no approved product list to worry about. You're delivering a service, a data service at the end of the day. So, what we expect to see happen is that states that do have the opportunity to procure hardware is that we will navigate through the APL process, if there is one, we will lean on existing APLs that we currently have to help accelerate that process and or have a reciprocal agreement there. And the third option there is that we would look to partner with a local integrator that is already enabled with everything lined up with an APL to accelerate that process. So, I think, again, going back to just the main point is that states do have APLs. They become relevant if they have to buy equipment, but we see more and more states moving to more of a hybrid model and/or even a data services model. So, it will become less relevant, I would say, as we move forward. But if there is one, we'll navigate it. If there isn't one, that's great, too.
Louie Dipalma: Sounds good. And lastly, does the $15 million in cost savings initiatives, does that provide enough liquidity cushion for Rekor to execute its plan until the company becomes free cash flow breakeven or free cash flow positive in the second half of next year?
Eyal Hen: Hi, Louie, yes. So the way we look at it, yes, we look on our expense structure and focus really on near-term revenues generating activities. And we believe that we did and the $15 million savings that we have will give us enough run rate to get to a free cash flow in 2025.
Louie Dipalma: Thanks. That’s it for me.
Operator: [Operator Instructions]. We reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
David Desharnais: I just want to say thank you very much for tuning in today. We've made, I would say, tremendous progress in a short period of time. We're a young company still, we've accomplished a lot. And a good example, I think, is getting through the processes with Florida as sort of a template and an example. We've learned a lot in that process, and I think it's going to accelerate our path forward. So, a lot of goodness coming out of that. And the changes that we've made from an operating expenses perspective is significant. Something like that is difficult to do. And we've got some amazing people and some rock stars that will be on to their next adventure, and we wish them well. But the folks that are remaining are fully committed to the plan here. We believe that the changes that we've made are going to allow us to cash flow our business as we move forward to profitability. And we're starting to see the business turn in the way that we expected. It took a little longer than we'd like to see, but it's on its way, and we expect this to continue into 2025 for sure and beyond. And so, we're excited about the path forward. We have a lot of work to do, and we're clear-eyed about that, and we're on it. So, thank you very much for the support and the patience and I believe that you're going to be well rewarded as we continue to navigate the path forward to what is an inevitable future. So, thank you very much for today, and I look forward to updating you in the next quarter.
Operator: Thank you. That does conclude today's webcast. You may now disconnect your line, and have a wonderful day. We thank you for your participation today.